Operator: Good day, everyone, and welcome to the Verisk Analytics First Quarter 2015 Earnings Results Conference Call. This call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Verisk's Senior Vice-President and Treasurer, Ms. Eva Huston. Ms. Huston, please go ahead.
Eva Huston: Thank you, Jake, and good morning to everyone. We appreciate you joining us today for a discussion of our first quarter 2015 financial results. With me on the call this morning are Scott Stephenson, President and Chief Executive Officer and Mark Anquillare, Chief Financial Officer. Following comments by Scott and Mark highlighting some key points about our strategic priorities and financial performance, we will open up the call for your questions. All the numbers we discussed today, unless otherwise stated, will reflect continuing operations and exclude the results from Interthinx. Interthinx is shown in discontinued operations reflecting the sale of the business in March 2014. The earnings release referenced on this call as well as the associated 10-Q can be found in the Investors section of our website at verisk.com. The earnings release has also been attached to an 8-K that we have furnished to the SEC. A replay of this call will be available for 30 days on our website and by dial-in. Finally, as set forth in more detail in yesterday’s earnings release, I will remind everybody that today's call may include forward-looking statements about Verisk's future performance. Actual performance could differ materially from what is suggested by our comments today. Information about the factors that could affect future performance is summarized at the end of our press release as well as contained in our recent SEC filings. And now I will turn the call over to Scott Stephenson.
Scott Stephenson: Thanks, Eva, good morning, all. In the first quarter we again delivered excellent results with total and organic revenue growth of about 12% and an increase in diluted adjusted EPS of about 22%.Profitability was strong with EBITDA growth of 18% and margins that continue to be industry leading. We’re pleased with these results which we believe reflect the strength of our solutions and their value to our customers. During the quarter as you know we announced the $2.8 billion acquisition of Wood Mackenzie. We have received regulatory approval for the transaction and expect to close in the second quarter as we had previously stated after completing debt and equity offerings to fund the transaction. I had the chance recently to spend time with many of our new Wood Mac colleagues in a variety of offices around the globe, and I came away more impressed with the debt, expertise and professionalism of the team. And we could not be more excited to welcome the Wood Mac team into the Verisk family. Wood Mac is the global data analytics company with a culture very much like our own. We’re adding a truly Verisk like business, one which offers its customers industry standard solutions based on proprietary data. The solutions are primarily provided through recurring subscriptions which benefit from network effects and scale economies. Like Verisk, Wood Mac has demonstrated an ability to grow by adding value through all of its customer’s business cycles over a very long period of time. In the first quarter, Wood Mac grew revenue in the high single digits as measured in pounds. Because of our combined free cash flow generating capabilities and the strength of the Verisk balance sheet we will be able to acquire Wood Mac with the benefit of an appropriate level of financial leverage. Our use of a prudent mix of debt and equity allows us to maintain our investment grade credit rating. With regard to capital allocation for buybacks we entered into a $500 million accelerated share repurchase program in December of 2014, as a result we had no incremental repurchases during the quarter. And once we are on track to meet our commitment to de-lever to 2.5 times gross debt to EBITDA we will manage our repurchase program as a part of our balanced use of capital. Our existing authorization at the end of the quarter was about $190 million. We continue to focus on innovation throughout our businesses as we believe this will enable us to deliver value to our customers and therefore strong financial results for the long term. A great example is our ongoing innovation effort that we announced recently with the launch of ISO ClaimSearch DNA. Some of you may have seen a demo at our Investor Day in March. With this new solution, PMC insurers can better visualize large networks of suspicious activity operating across the industry. DNA magnifies the power of ISO ClaimSearch which recently passed the $1 billion Claims mark to find patterns of potential fraud in increasingly large data sets and the detect entire networks of organized activity among individuals and businesses including related service providers. The patent tending technology provides a fully automated solutions proactive fraud network detection. The advanced analytics and predicted models work seamlessly to uncover hidden relationships across large data sets and to prioritize the networks of interest for each customer. ISO ClaimSearch DNA also provides insurers with alerts and actionable intelligence on their suspicious networks and claims for further investigation. Organized fraud often affects multiple carriers. So an industry wide perspective is essential to helping companies fight large scale fraud by giving them the whole picture. This is one of many and various innovative solutions that we continue to develop. We continue to feel confident in our long term opportunities to grow shareholder value through a combination of innovation driven organic growth and prudent deployment of the capital including through our strategy driven M&A. And with that, I’ll turn it over to Mark to cover the financial results in more detail.
Mark Anquillare: Thank you, Scott. In the first quarter, we again delivered both revenue and EBITDA growth, while also investing in the future. Revenue grew 12.1%. Excluding the effect of recent acquisitions, revenue grew 11.5%. The strong organic growth reflects the health of our business and the value we deliver to our customers through our mission critical solutions. Within the Decision Analytics segment, revenue grew 16.6% and 15.6% on an organic basis. We saw organic growth across all four categories led by financial services. Decision Analytics insurance grew 8.7% in the first quarter, the increase was driven by strong growth in underwriting solutions and good growth of catastrophe models, claims and loss quantification solutions. Touchstone continues to be a growth drive in the quarter and we were pleased with the contribution from [Indiscernible] as well. Financial services revenue from continuing operations increased 67.3% driven by strong overall performance bolstered by a significant onetime project around advertising effectiveness. This project yielded very nice profitable revenue in the quarter as well as intellectual property which we will leverage repeatedly as our advertising effect in this business grows. Excluding this project which had revenue around $11 million growth in the quarter was 15.1%. The advertising affect of this market is early in its development yet has significant long term potential. Healthcare revenue grew 17.5% as reported which increases in all solutions group led again by payment accuracy. The results in the quarter came in ahead of our expectations as the transaction nature of much of the business means we have lower visibility than in our other businesses, and we saw higher levels pass the revenue than anticipated. Our current forecast indicates growth will moderate as we move through the rest of the year. As you know our second half of the year is seasonally larger than the first half. We are expecting visibility in the Medicare Advantage business to increase as the year progresses. The changes in contract language we discussed with you last quarter took effect later in the year than we had anticipated. As we told you last quarter the Verisk health revenues for the first quarter 2014 would have been $58.4 million if reported on the basis of the new contract language. On that same basis, the first quarter of 2015 revenue would have been $68.4 million. Growth on a net basis was 17.2% just below the reported growth of the quarter. Specialized category revenue increased 16.5% in the first quarter and 4.3% on an organic basis. Maplecroft’s $2.6 million in revenue in the quarter was in line with our expectations. We continue to see growth in the quarter from environmental health and safety solutions and we’re seeing good traction from our commercial, weather and climate analytics. Risk Assessment of revenue grew 5.3% indicating the value to our long standing insurance customers. Industry standard insurance programs grew 5.5% reflecting our 2015 invoices which were effective January 1 and continued contribution from newer solutions. Our property specific rating underwriting information revenue grew 4.8% in the quarter; this increase was driven by higher transaction volumes from those customers who have not yet migrated through a subscription for a long term contract. We have focused on transitioning most of our customers to subscriptions over the past couple of years which provides us good visibility. Total EBITDA increased 18.3% to $216.3 million. The 28.9% increase in Decision Analytics EBITDA to $115.3 million was the result of growth in the business and improved operations particularly at Verisk Health. Decision Analytics EBITDA was also helped by some non-recurring project at Argus which was very profitable. And finally, Decision Analytics EBITDA includes about $4.4 million of fees related to the Wood Mac acquisition. Risk Assessment EBITDA increased 8.2% to $101 million as a result of revenue growth and good expense management including – people led across following the fourth quarter talent realignment. We do expect to tie additional people as part of the realignment initiatives. Interest expense was up $823,000 primarily due to increased debt related to the funding of the accelerated share repurchase program. Total debt of short term and long term was about $1.3 billion at March 31, 2015. Our reported effective tax rate was 38.1% for the fourth quarter. Adjusted net income increased 15.2% to $107.5 million in the quarter. Adjusted EPS on a fully dilutive basis was $0.67 for the quarter an increase of 21.8%, the average diluted share count was 161.5 million in the quarter on March 31, 2015 our diluted share count was 161.7 million shares. Free cash flow defined as cash provided by operating activities less capital expenditures increased 25.2% to $146.2 million for the three month period ended March 31, 2015. This represented 113.8% of EBITDA. As you know this quarter is a strong cash flow quarter for us given our January 1 cycle of invoices and industry standard programs. Capital expenditures decreased 31.5% to 24.8% in the quarter and were 5.4% of revenue. We continue to expect CapEx of about $150 million up modestly from 2014. As of March 31, 2015 our cash and cash equivalents were $152.8 million. As you think about your models for the full year all of the following observations are before adding Wood Mac. You will recall that second quarter is when we have our annual increases and they cause a typical step up salary expenses. As I mentioned previously the Argus project work was very profitable. In addition, we anticipate amortization of intangibles of about $53 million. Fixed asset depreciation, amortization of about $110 million and a tax rate around 38%. Higher expected deprecation, amortization is due to internally developed software leading to new solutions moving into services sooner which we view as a positive for our business. Because of the accelerated share repurchase our share count will be down year-over-year in 2015. Based upon our current debt balances and maturities full year interest expense will be about $66 million. After Wood Mac transaction closes we will provide additional details to help you update your models with more granularity. Overall, we are pleased to report that our business is performing well. We are seeing growth across multiple verticals and we are executing on our operational plans. With that, I’ll turn it back to Eva for a comment before the Q&A.
Eva Huston: Thanks Mark. We appreciate all the interest in Verisk given the large number of analysts we have covering us, we ask that you limit your questions to one and one follow up. This will give more people an opportunity to ask their questions. Also, given that the Wood Mac acquisition has not yet closed we will appreciate you focussing your questions on the Verisk quarter and business. And with that, I’ll ask the operator to open up the line for questions.
Operator: [Operator Instructions] And your first question comes from Tim McHugh from William Blair and Company. Your line is now open.
William Blair: Okay, thank you. Just want to add on Argus the media effectiveness can you elaborate I guess in more detail what it was and I guess on the financial impact I guess how profitable is it and then I guess also elaborate on the future and I guess you talked about retaining the intellectual property you know maybe you can repeat the works in the future.
Mark Anquillare: Yes thank you Tim, let me take that. This is Mark. The Argus business is very subscription oriented, because of the nature of advertising effect in this there is some project work either direct with customers or with partners. This is an opportunity to really build out a very interesting capability that we will be able to leverage and use it in the future. And I would tell you that I think we are optimistic that both that capability and database will be leveraged but I think it also kind of set the stage hopefully in the future for a longer term subscription along the same line. So, we are optimistic probably a little longer out. To answer your question, some of the work or a lot of the work that was performed in support of that project did take place or a part of it took place in 2014. So as you think about the first quarter in 2015 that was higher than our traditional margin it was a strong margin business as it affected the first quarter 2015.
Scott Stephenson: And Scott here, I’ll just add that one of the things that’s going on is the functionality that Argus represents any add effectiveness world is one that various players are becoming more familiar with more comfortable with and I think that probably from time to time there will be projects like this just because they kind of get started, they figure out what it’s really about and then hopefully and often usually it matures into a longer term kind of a relationship.
William Blair: Okay, thanks. And then I guess on healthcare you made the comment that you expected to moderate I guess across the year, is it just tougher comparison is that something that you see I guess in the pipeline or something that’s falling off that I guess it makes gives you that expectation?
Mark Anquillare: Yes sure Tim, let me take that. Obviously we were very pleased with the quarter at Verisk Health. As you kind of move forward, yes second half of the year is where a lot of the Medicare Advantage work comes in. We don’t have quite the visibility on that as we said in the past it’s a little more transactional in nature and we are just trying to make sure that we are going to appreciate that first quarter was a good one but we do see that there will be probably a little bit of ramp-down as we progress through the year as a relation to the comps and the lack of visibility into the perspective revenue streams.
William Blair: But is there – I guess would you be willing to frame it all I guess in the level of moderation than you expect?
Mark Anquillare: Tim, I think we tried to stay away from any specific guidance on this topic and you know as I said I think we feel good about the healthcare business. We like the fact that its growth is across all the segments but I think we’ll stay away from any specific growth rate at this point.
William Blair: Okay. Thank you.
Operator: And your next question comes from Manav Patnaik from Barclays. Your line is open
Manav Patnaik: Thank you, good morning everybody and congratulations on another impressive quarter. I just wanted to follow up on that add effect discretion; I mean clearly you guys have been talking about this for a couple of quarters. And I think I understand what the opportunity there is. I was hoping you could help us frame what the addressable market is from your piece of the pie, your share of what that market potentially is just to understand you know how we could frame the potential size of this business for you down the road?
Scott Stephenson: Manav, Scott here. Just a couple of things, one is, I would say that while interest in advertising effectiveness has effectively existed as long as advertising has existed. In reality we now have data sets and methods which allow us to look at the relationship between the signals which are put out and the response which is given to those signals. And our August team is very well equipped to work in this field both because of the content that we’ve got but also the methods. And our general excellence actually add to large scale in analytics. So this is a category, down the way we are doing it that is relatively new. And so that to me is the primary framing thought here is that its’ early days. The other thing that I would say is that the kind of work that we are doing applies to both traditional and new media. And we’re working to bring the capability into all of those different domains. And so, when you’re talking about the new media space for example, you tend to find some relatively large players. And it’s very much a part of our plan and our goal to be working with a good number of them. So, that’s not giving you sort of a total TAM for the opportunity, partly again because we’re in early days. But we see this is as a very major opportunity.
Manav Patnaik: Okay. Fair enough and just on the follow-up, on the Verisk Health side, you know, you mentioned that you saw some notable operational improvement on the healthcare side. I know you haven’t given us absolute margins before. But can you maybe just help us understand the magnitude of that improvement, and if that is something we should see a sustainable going forward?
Scott Stephenson: We certainly expect that operational effectiveness will continue to grow at Verisk Health. It was a point of primary focus by our Verisk Health colleagues in 2014. It was reflected in what I would call material improvements in some of the core metrics that relate to for example, the RQI side of the business, and the team remains focused on taking it to an even higher level. So, you’ve heard us say that we have felt and continue to feel that there is an opportunity, and that we will margin improvement in Verisk Health. And we stand by that.
Manav Patnaik: Okay. Thanks a lot for the time, guys.
Scott Stephenson: You bet.
Mark Anquillare: Thank you.
Operator: And your next question comes from David Togut from Evercore ISI. Your line is open.
David Togut: Thank you. Good morning Scott and Mark.
Scott Stephenson: Good morning.
Mark Anquillare: Good morning.
David Togut: We saw very strong margin expansion in the quarter, EBITDA margins up 250 basis points year-over-year. Historically, Scott you’ve said that you’re very long term focus in your investment program and you perhaps you could frame this for us recognizing that you did call out some one time high margin revenue in the quarter. Is this potentially the beginning of a trend where we start to see positive operating leverage going forward?
Scott Stephenson: Yes.
David Togut: Can you elaborate?
Scott Stephenson: Well, we start with as I think everybody with us today knows. We start with a very highly efficient organization already. And we pay a lot of attention to that, benefited of course by the fact that we run our business in a way where fundamentally our model has scale and leverage built into it. So the starting point for the performance of our business with respect profitability is the nature of the business that we have and that we choose to build. But having said that, I don’t think that there is anything in consistent with our long-term focus and our focus on organic revenue growth as being a particular measure, our vitality as an organization and booking for ways to operate our business with even more efficiency. So we don’t feel as if we’re engaging in any sort of a trade off between the near term and the long-term even as we give a great deal of attention to the efficiency of our operations. Mark, I don’t if you want to add anything to that.
Mark Anquillare: No. I agree. I just will kind of call out a few things that we try to talk about as we discuss here this morning, Argus, clearly that revenue was very highly profitable. Two, we talked about the [Indiscernible] Verisk Health for the most part that as it move gross to net that will actually help margins just mathematically. Offsetting that I want to highlight that there is an element of talent realignment in our industry standard programs and we will be hiring back. There we will also see some salary increases across the universe and the enterprise, so those are couple of things we need to consider in the second quarter and beyond. Finally, we did have about $4.4 million of fees related to Wood Mac that we called out here in the first quarter. Obviously there will be some more in second quarter.
Operator: And your next question comes from Toni Kaplan from Morgan Stanley. Your line is open.
Toni Kaplan: Hi, thanks. So, I’m looking at the Decision Analytics, insurance line, the growth rate tends to jump around there. So, I was wondering if there was anything that basically anything that depressed the growth rate in this quarter and how we should think about the full year for that one.
Scott Stephenson: Yeah. I mean, I would not point at any macro factors which would really have explanatory power there. Couple of things that are always just kind of there in the background but they kind of wash in one direction and they will wash in another direction. One would be just levels of claims activity which tends to related to both our loss quantification activities as well as our – it create a climate which is supportive for catastrophe modeling in the general sense. And then, there can be from time-to-time consolidation particularly not really among the primary insurers but more with respect to some of the brokers and some of the maybe the second tier reinsurers. And so from time to time there’s a little bit of that. And so you have those kinds of factors that are kind of in there. But substantially what we do is actually subscription base and long term in nature and that continues to be the case.
Toni Kaplan: Okay, great. And then just on the international expansion opportunity in financial services, just wanted to ask how you see that in terms of timing, I guess this is into Wood Mac question, but given that Wood Mac is global, does that accelerate your sort of process of expanding internationally and financial services and what steps you need to take in terms of adapting to new geographies in that product line.
Scott Stephenson: Yes. So, we do believe actually that we are in the process of re-platforming Verisk globally in a way that will be supportive of. We hope and expect many, many parts of our business, but specifically to Argus, the way you should think of that is it’s a little bit of a step function and what I mean by that is that lying at the center of the Argus business just as with many other parts of Verisk. You’ve got these very rich datasets which are contributory from the same companies that service our primary customers. And so there is kind of a critical math sort of a quality in any given market where once you get, once we get enough of the leaders saying that they want to come in to the consortium model it tends to then cause much of the rest of the market to come along. And so, you sort of have these step function changes in state where you sort of aren’t at critical math until you are. And once you are critical math it all begins to change a little bit. And so, even recently and confirming with our Argus colleagues we heard some exciting news about specific markets. But you should just understand it as there will be movements and time in which any given market, any particular market sort of becomes a part of the Argus model. And that is the way we build a market at a time.
Toni Kaplan: Thanks a lot. Congrats on the quarter.
Scott Stephenson: Thank you.
Operator: And your next question comes from James Friedman from Susquehanna. Your line is open.
James Friedman: Hi. Thanks. Just ask my two upfront. One housekeeping, one Mark, the CapEx decline significantly year-over-year and I know you’ve made some comments about the Q2 CapEx expectation if you could comment why that might happened in the first quarter. And then secondly, with regard to ISO, could you help quantify what some of the cost rationalizations might have been in the quarter that would be helpful? Thank you.
Mark Anquillare: Sure. Let me take the first from a CapEx perspective. We did do some moving of offices and we were moving also our data centers last year and first quarter, so we had some high CapEx in 1Q, 2014. And I think we also started or at least done from our [Indiscernible] inflows of a CapEx seems like there maybe a little bit of movement of CapEx to get some year-end deals from vendors pertain to 2014 which seem to keep the CapEx dollars really low relative to past history in first quarter of 2015. So, I would tell you that we kind keep – we kept our full year forecast generally unchanged. We just think it kind of moves into second and third quarter and I wouldn’t really point anything expect for timing with regard to the CapEx number. Second question I think was a little about the talent realignment inside of our industry standard programs. We’ve have great people and great talent inside the iPass team, the iPass team represents one of the units that industry standard program. And I think we wanted to recognize the efforts of those people over the years and we from most part offer the package so that we could get some new talent that is focused on new opportunities. This is an opportunity to become more efficient with our core business, be more effective with our core business. And at the same time kind of backfill position so that we can aim point to the future with new opportunities and expansion. And I think the hiring to backfill those position is a little bit delay. We want to get the right people and we wanted to get the right position filled as soon as possible but that’s causing it. I would tell you that we’re probably in the neighborhood of 30 to 40 positions, does that help, Jim.
James Friedman: Thank you.
Operator: And your next question comes from Andrew Steinerman from JPMorgan. Your line is open.
Andrew Steinerman: I want to review DA insurance, 9% looks very solid to me, but the question is around year-over-year comparisons in particular and when I look at 9% growth in the first quarter versus the 12% growth. The fourth quarter, I come away taking perhaps it has to do with the year-over-year comparisons being about 4.5% more difficult in the first quarter and what might be the implications going it into the second quarter here and there’s also a larger year-over-year comparison for DA insurance?
Mark Anquillare: So, let me try to answer your question maybe more qualitatively and then I can maybe address that. So, couple of things always happen, one there is some project oriented revenue as it relates to the catastrophe modeling, the timing of cat bonds and things like that that we called out before, that cause I think a little bit of a comp relative to first quarter 2014 but not material, I don’t think there’s was anything noteworthy there. The other thing some times relates to the timing of new customers, so its sometimes a bit of grow over as an example inside of the loss quantification I know that we had a reasonably large customer that came on in first quarter 2014, obviously that customer was customer 2014 also in 2015. So, I think as we think forward from an insurance perspective. I think second quarter you’re probably right, a little bit tougher comp, but we have a consistency. We have a subscription and I think we feel that we’re going to be in good shape probably a little bit more of a second half story from an DA insurance perspective.
Andrew Steinerman: Great. And 9% for DA insurance feels like a pretty normal growth rate for you, right?
Scott Stephenson: I think the business is substantially, well, entirely the same business that it was, the only thing I would add is as this year progresses I think we’re going to have some very exciting things to be able to talk about in terms of the expansion of some of thing for doing specifically on the DA side of insurance, and we look forward to being able to talk about those. These are innovations and partnerships and customer relationships. So it actually feels very good. The nature of those businesses is that they are very, very embedded with their customers and behind that we have a series of innovations that I think are really quite exciting.
Andrew Steinerman: Sounds good, Scott. Thank you.
Scott Stephenson: You bet.
Operator: And your next question comes from Joseph Foresi from Janney Montgomery Scott. Your line is open.
Joseph Foresi: Hi. I was wondering if you could talk a little bit about what you feel would be the trajectory or seasonality in healthcare. I know that’s usually backend loaded, I know you have some different comps. So not really guidance but the way that it worked in the past has been more backend loaded, so I was wondering if you could just give us a little bit more color on sort of how this year looks, and if that’s change versus other years?
Mark Anquillare: Sure. I will tell you that we’ll probably see about the same split or the same balance between first half and second half. Second half is typically a 60% relative, first half being a 40% type of total. The swing or the nature of that disparity is really in the Medicare Advantage business. It’s more transactional and because Medicare and what we refer to those Medicare suites typically runs from July through the beginning of – end of January that’s what causes that. Now when those transaction volumes happens whether its third quarter or fourth quarter it lies in the first, it’s a little tough to be very specific about that.
Joseph Foresi: Okay. And then just on the pricing in the insurance DA or other insurance business can you talk about your relative pricing power versus this year versus all the years and if there’s been any change there.
Scott Stephenson: No change.
Joseph Foresi: Okay. Thank you.
Operator: And your next question comes from Bill Warmington from Wells Fargo. Your line is open.
Bill Warmington: Good morning everyone.
Mark Anquillare: Good morning.
Bill Warmington: So, one question for you on the margin and very strong performance this quarter, if you add back to Wood Mac closing cost, it would put you about 48.1%. And I know that when you started out few years ago with the 43% to 45% long-term target and then after the Sale of Interthinx, that went up to 45% to 47% range. And then given that strong performance in this quarter adjusted through Wood Mac and in fact that the gross to net in the healthcare isn’t yet in the numbers, should we be thinking about that upper end of that range moving up going forward?
Scott Stephenson: Again, we feel –we were very committed to running the business with efficiency and we feel that we are steadily finding those efficiencies and we do a fire to run a business which is as profitable as it can be and at the same time is growing strongly especially organically over long periods of time and we’re still on that March. And we don’t – we don’t feel that we have exhausted all of the opportunities to operate efficiently. At the same time there is always the counter balancing points that we’re introducing new innovations, even yesterday we were sitting down and looking at an investment that we’re going to initiate this year to pursue one of those exciting opportunities that I was just talking about as it relates to DA. So there’s always a balance there. But just as was the case, when we started out in the 43% to 45% range that didn’t mean that we relax our interest in becoming more efficient and profitable and we’re still on exactly at that same mode.
Bill Warmington: Okay. And then my second question on the discrete network analysis module, just wanted to ask if you could frame what you thought that opportunity was and what kind of a contributor that was likely to be either to – and how we should think about the time frame there, 2015, 2016?
Scott Stephenson: Well, yes, the work is ongoing and I say by the way that is another good example of the Verisk way of doing innovation because one of our confidence points on this work is that its been done with close collaboration and consultation with customers, which is a very, very important part of our process. I think what remains to be seen is how much the effect of claim CNA is reinforcing the overall ClaimSearch franchise versus how much it will generate incremental especially identifiable incremental revenue streams. But when I think about value to the customer, the opportunity to be able to essentially interrogate the data and there’s much more big data kind of way, I think the value will be significant, how we chose to commercialize and monetize that, that’s -- think that’s a little down the road, yeah.
Bill Warmington: Got it. Thank you very much.
Operator: And your next question comes from Alex Kramm from UBS. Your line is open.
Alex Kramm: Hi, good morning. Just, sorry to come back to the margin, but doing some of the math here myself, if I just look at Decision Analytics, and I assume that this project in Argus was about 80% margin and maybe that being conservative and I just for the one-timer and pass through, I get to about 41%. So first of all is that in the ballpark and if I compare this to a year ago, I think that’s about 350 basis points margin expansion. So, maybe you can just break this down where you think that margin expansion came from in terms of efficiencies and on the healthcare side and maybe scale you gaining and other things you want to point out?
Andrew Steinerman: Yes. Thank you. Let me try to help you out that. I understand your math and I think it’s reasonable with regard to the project revenue. I think we try to call out that the nature of our business is across the board have natural scale to it and the incremental margins are extremely high, its how much investment we put in. We continue to have a consistent level there. Verisk Health, I think was one of the nice positives inside the quarter. We would expect that to continue, obviously as revenue typically is a little lighter in second quarter relative to the other quarters that may work against us in the quarter, but Verisk Health is the biggest contributor to that, that good news. And I think we would as Scott suggested I think we would expect that to continue.
Alex Kramm: Okay. Helpful. Thank you. And then maybe just on the imagery side. I think you talked post-EVP that’s an area that you still want to get better, there’s some investments. So, A, is that meaningfully depressing margins right now. Are you still doing a lot of investments there and any update on where you at in terms of competing with that business and getting bigger piece of the pie?
Scott Stephenson: So, my earlier reference to some exciting developments in 2015, this category will definitely be one of them. The way that you need to understand this category is that they’re really actually two things you have to do in order to be able to create commercial solutions for a customer. One is you have to have methods by which you can in a highly automated way take an image and turn it into data. And the second thing is you need images which are sufficient to what it is that you’re trying to do. Our methods are world class and you heard our or you saw our announcement about AMS Geomatics that’s all part of that. And we really have a team and a set of capabilities we put up against anybody. What we haven’t working on is how we are going to infuse those methods with a very comprehensive set of images. And we are laying some extremely exciting plans in place right now not able to talk about them just yet, but we will come back on those, not really influencing margins very much at the movement and we actually think the approach that were coming up with here it probably will – there will be maybe a minor effect but we’re going to manage this is a way that we believe there’s a good chance, but as revenues mounts they’ll be matching and exceeding ultimately the expenses, but that will be a little bit of build through time. But they were very, very focused on those categories.
Andrew Steinerman: All right, great. Thank you.
Operator: And your next question comes from Andre Benjamin from Goldman Sachs. Your line is open.
Andre Benjamin: Thank you. Good morning.
Scott Stephenson: Good morning.
Andre Benjamin: Question on the healthcare business, I was wondering if you can maybe give a little color on the drivers of the growth particular how much is from new clients versus your existing clients just running more volume through the business and/or how much of it is from those same clients maybe buying more products from within the suites you offer?
Scott Stephenson: You always going to find those three things in the mix, Andre and I would say that something that is always very important to us and something that is always very encouraging to us is when we find existing customers moving into new parts of our suites. And we definitely all of those are represented in the mix including first quarter 2015.
Andre Benjamin: And I guess in conversation with the same customer I was wondering are there any notable thoughts or feedback that you’ve gotten with respect to how they’re thinking about the changes in Medicare reimbursement rules and the management of your products?
Mark Anquillare: Well you know that’s always going to be a part of their thinking and they and we both pay close attention to what CMS is doing. I would say that I think what is really leading the thought process for our customers in this category it’s probably less what’s going on in the regulatory environment and it’s more about their own thoughts on how to maximize their own performance basically. And so, it’s literally then trying to do their good work and manage their businesses to highest level of performance and I think that’s the greater factor in how they are choosing to manage the way that they engage with CMS and therefore that part of our business which is about that, which is over in RQI it’s more their own thoughts about that own businesses that’s really what is the leading factor.
Andre Benjamin: Thank you.
Operator: And your next question comes from Anjaneya Singh from Credit Suisse. Your line is open.
Anjaneya Singh: Hi, thank you for taking my questions. First off on just the advertising effectiveness project revenue you discussed you know the opportunity around this quite a bit in the past and on this call. I’m wondering as we look forward if the project revenues are is what should be you know expected in these types of solutions or if subscription based engagements might also be possible at this early juncture?
Scott Stephenson: Subscription based engagements are definitely possible and are occurring even at this time. And really what we were trying to indicate with our comments was simply that it may well be the case that from time to time as the category emerges there will be individual larger players who get interested and there is sort of at a moment in time there is a high degree of engagement as they assess the methods and figure out exactly you know what they can do and what they will mean for them, which we hope and expect will sort of mature into ongoing subscription like relationships.
Anjaneya Singh: Okay that’s helpful. And a question for Mark, you talked about the risk assessment talent realignment savings being invested back into the business and I appreciate the comments on the 30 or 40 positions you need to sell. Wondering if you can discuss what your expected timeline is to fully work through those hiring plans just trying to get a sense of when RA margins may work back down to a more normalized level?
Mark Anquillare: Sure, I mean I’ll give you my best timeline. I mean, our goal continue to be find the right people because we want to move and kind of create some exciting opportunities in markets, the new product ideas. But if you think about Verisk as a whole, it’s about people and intellectual capital is so important, so we just need to right people. I think we would have hoped to have many of those position filled in the first quarter and if I said second quarter I know things will roll into the third, but I think we are actively kind of fill those positions with the right people and are looking to do so as quickly as possible.
Anjaneya Singh: Appreciated. Thanks you.
Operator: There are no further questions. I’ll turn the call back over to the presenters.
Scott Stephenson: Well, thank you. And we appreciate everybody being with us this quarter. Appreciate your support and your interest and we look forward to talking with you at the conclusion of the second quarter. Enjoy your day.
Operator: This concludes today's conference call. You may now disconnect.